Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to VolitionRx Limited Third Quarter 2025 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, November 14, 2025. I would now like to turn the conference over to Louise Batchelor, Group Chief Marketing & Communications Officer. Please go ahead.
Louise Batchelor Day: Thank you, and welcome, everyone, to today's earnings conference call for VolitionRx Limited. Before we begin, I'd like to remind everyone that some of the information discussed on this conference call will include forward-looking statements covered under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on our beliefs as well as assumptions we have used based upon information currently available to us. Because these statements reflect our current views concerning future events, these statements involve risks, uncertainties and assumptions. Actual future results may vary significantly based on a number of factors that may cause the actual results or events to be materially different from future results, performance or achievements expressed or implied by these statements. We have identified various risk factors associated with our operations in our most recent annual report on Form 10-K, quarterly reports on Form 10-Q and other filings with the Securities and Exchange Commission. We do not undertake an obligation to update any forward-looking statements made during the course of this call. Cameron Reynolds, Group Chief Executive Officer, will open the call providing a business update. Dr. Jake Micallef, our Chief Scientific Officer, will present research highlights from across our product pillars. Terig Hughes, our Chief Financial Officer, will then provide a financial report before handing back to Cameron to close with a discussion of upcoming milestones. We will then open the conference call to a question-and-answer session. And with that, I'll turn the call over to Cameron.
Cameron Reynolds: Thanks, Lou, and thank you, everyone, for joining Volition's Third Quarter 2025 Earnings Call today. We very much appreciate your time given the busy earnings season. 2025 efforts for Volition have focused on commercializing our groundbreaking Nu.Q platform in the human diagnostic market, and we were excited this quarter to sign not 1 but 2 agreements, a research license and exclusive commercial option rights agreement for antiphospholipid syndrome, APS, with Werfen and a co-marketing and service agreement with Hologic. Both are multibillion-dollar companies and worldwide leaders in their specialized fields, and we are delighted to report that both have very much hit the ground running. Now taking each in turn. Werfen is a global leader in the field of in vitro diagnostics for hemostasis and thrombosis, among others, where neutrophil extracellular traps, NETs play such an important role. And of course, we have the only approved test to measure NETs. So this agreement fits extremely well into our strategy of leveraging the installed base of machines, specific disease knowledge and customer reach of our partners, combined with our unique NETs platform. Under this agreement, Werfen will gain access to the components of Volition's proprietary Nu.Q H3.1 NETs assay and will investigate its clinical utility in the management of APS patients on its platforms. Werfen also has an option to negotiate terms with Volition for it to launch the product commercially under an exclusive license. We have already successfully transferred the Nu.Q NETs assay to their ACL AcuStar platform. Early results in NET levels detection in APS patients with Nu.Q test are encouraging. Werfen are excited to validate further and complete a clinical utility study to determine the potential role of this marker as a risk indicator of thrombosis in APS patients, allowing a better management of this very complex syndrome. This could open the possibility to enlarge Werfen's portfolio in APS testing. Just to provide a bit of background about the condition as we haven't previously discussed this in detail. APS is a complex disorder of the autoimmune system affecting around 4 million people worldwide. It causes increased risk of blood clots and their associated complications such as stroke, heart attack, pulmonary embolism or deep vein thrombosis. It is also associated with the recurrent miscarriages and pregnancy complications. It is currently diagnosed through a panel of blood tests requiring 2 positive results at least 12 weeks apart and is often a lifelong condition requiring regular monitoring. Emerging evidence suggests increased net formation appears to be a central mechanism in thrombosis in APS and that targeting NET pathways could provide future therapeutic avenues for thrombotic complications. We believe that Volition's Nu.Q NETs test is the first CV -- IVD assay being investigated in APS and could provide not only improved diagnostic information to aid clinical decision-making and personalized care, but also a low-cost test to continue to monitor these patients throughout their lifetimes. APS diagnosis and monitoring represents a total addressable market of approximately $85 million annually. So it is a very good early target for our NET platform. It is exciting to achieve this major milestone with Werfen, and we are already working with them on study design, et cetera. The second agreement we announced this quarter is with Hologic Diagenode for the co-marketing of Volition's Nu.Q Discover service. The Nu.Q Discover service provides drug developers and scientists with a range of state-of-the-art assays for rapid epigenetic profiling in disease model development, preclinical testing and clinical studies from discovery to being market ready. Hologic has extensive experience recording revenues of over $4 billion in 2024 from a large client base and international reach, providing tools to biotech and pharma companies and also to academic and government organizations. We have seen strong growth in interest from our Nu.Q Discover services and believe this partnership with Hologic will further accelerate the expansion of Nu.Q services to a wider base of customers to drive revenue. The inclusion of our nucleosome-based biomarkers in Hologic's portfolio demonstrates a strong validation of their value in clinical development. The Hologic team have really hit the ground running and have already presented the Nu.Q Discover offering at several international conferences, have launched a digital marketing campaign, including e-mails and LinkedIn advertising and have a webinar planned for next quarter. They have also received a lot of inbound interest from existing customers, so definitely an exciting start to what we hope will be a long and fruitful relationship. We are continuing our discussions with around 10 of the world's leading diagnostic and liquid biopsy companies and are at various stages of this process across our different pillars, ranging from due diligence to tech transfer to evaluation of clinical samples to term sheet and contract negotiations. We are very confident of further licensing deals with a range of large companies, and we'll update on progress as they are completed. We believe that our positive emerging clinical evidence supports the broad applicability of our Nu.Q technology in critical areas such as cancer and sepsis, including as a biomarker of interest to epigenetic drug development and expanding area of focus for big pharma. Beyond licensing, as discussed on our previous calls, another prong of our Nu.Q NETs commercialization strategy is to leverage our granted CE Mark approved in the EU for any NETosis-related diseases with the product under valuation in 14 hospitals in 5 European countries. As Dr. Andrew Retter has discussed on previous calls, NETs are implicated in a wide range of diseases. We anticipate the presentation and publication of results regarding the clinical utility of the Nu.Q NETs H3.1 assay across a range of diseases in the coming months and quarters. So please keep an eye out. In fact, we have made significant progress on several publications in recent months and anticipate peer-reviewed publications across all pillars in the coming quarters. One such paper just recently submitted for peer review, concerns our groundbreaking Capture-Seq technology. We believe the ability to concentrate chromatin fragments and therefore, tumor DNA has the potential to be a game changer in the liquid biopsy field. It is an exciting prospect from a licensing perspective, and I am pleased to report that we are currently in active discussions with third parties. But to provide more detail, I'm delighted to pass over to Dr. Jake Micallef, our Chief Scientific Officer, to share a more thorough update on scientific and clinical progress. Jake?
Jacob Micallef: Thanks very much, Cameron, and good morning, everyone. I'd like to start by providing a little more color and detail to the Capture-Seq project. We've recently submitted a paper on this describing an entirely new liquid biopsy method to analyze blood samples to find DNA from cancer cells. This is not a new way to target the same cancer-derived DNA targeted by other tests. Instead, we target an entirely new class of cancer-derived DNA. This represents an entirely new class of cancer biomarkers with hundreds or possibly thousands of new targets, all of which are ignored by current methods. We have isolated this previously ignored DNA from blood and removed the background DNA. This is important because background DNA is the single biggest problem in current liquid biopsy methods and nobody has ever previously managed to remove this background; however, our new method isolates just the DNA we are looking at with 180-fold concentration. That's an 18,000% enrichment and removes more than 99.5% or almost all of the background DNA. This is a great result, but it would be easy to throw away the baby with the bathwater. That didn't happen. We retained 48% of the target material for analysis with almost all the background DNA removed. This is the first. It's never previously been achieved in liquid biopsy. Our new Capture-Seq method is extremely exciting, and I personally believe it may become commonly used worldwide, both in the detection of cancer and in cancer patient management. The focus of the paper we've submitted is scientific rather than clinical and showcases what we believe is a revolutionary new liquid biopsy method for detecting cancer DNA in blood. So how is it revolutionary or different to existing biopsy methods? Well, the vast majority of DNA circulates in the blood as nuclear proteins called nucleosomes, and most of this is actually background; however, small amounts of DNA also circulate bound directly to epigenetic regulators called transcription factors. And this DNA, as I say, it's ignored by present methods is our target. Some transcription factors bind to different DNA locations in the genome or DNA sequences in the cells of cancer patients; however, their isolation from blood has never previously been successful. And consequently, the different transcription factor binding that occurs in cancer has never previously been measured in blood samples. We have now succeeded in isolating transcription factors from blood plasma and found hundreds of transcription factor bound DNA sequences in the plasma of cancer patients that are not present in the plasma of healthy people. As I said, these new sequences represent an entirely new class of cancer biomarkers with hundreds or maybe thousands of new targets available to science for the first time, and Capture-Seq is an entirely new way to analyze blood samples to find them. So the next step was then to establish a proof of concept for cancer detection by transcription factor occupancy measurement in blood using Capture-Seq. The technical details will be published in the paper when it comes out, but the transcription factor we've worked on is called CTCF, and we've shown in a small number of patients that a panel of plasma CTCF ChIP-Seq results identified patients with cancer with 100% sensitivity and specificity. In lay terms, we detected all the cancers with no false positives. That was very encouraging, and we have good reason to believe Capture-Seq will be accurate and economic in routine use. Although we focused on one particular transcription factor, CTCF, this may be a pathfinder for many other similar tests using other transcription factors that are important in particular cancers. An easy example would be the estrogen receptor as a transcription factor in breast cancer. And perhaps most importantly, this new transcription factor DNA method may be used alone or in combination with other existing methods to bring multi-omics cancer DNA testing to patients for patient management and for early cancer detection. As Cameron mentioned, we're in many confidential discussions, and this is certainly proving a hot topic. So scientifically, a great step forward and hopefully, one which will translate into real-world clinical benefits for patients. We will, of course, update you more fully once the paper is out. I also wanted to take the opportunity to update you on a few other Q3 activities. I was very fortunate this quarter to visit our key collaborators in our lung cancer product development programs. In August, I met with Professor Chen and his team as well as the screening program leaders at the National Taiwan University Hospital in Taipei. During the visit, the IDS-i10 analyzer, which is the automated platform for our tests, was installed in NTU's laboratory and training was provided by 2 of our team to progress their validation study for lung cancer screening. They've also performed some analysis regarding use of the Nu.Q H3K27 [ TriMethyl ] test in prognostication of diagnosed lung cancer patients in studies similar to our previous collaborative studies in France. I also visited our colleagues in France who are continuing their work using Nu.Q [ H3K27 TriMethyl ] in lung cancer, and they're now expanding into other cancers. The clinical lung cancer patient management results in France are consistently excellent, and we're preparing for the introduction of Nu.Q [ H3K27 TriMethyl ] test in clinical practice in a group of hospitals in France. There will also be quite a few upcoming publications in cancer in the near future. In August, we also published a paper showing the utility and reliability of our Nu.Q NETs assay, and we expect further publications from ourselves and from collaborators over the coming months in NETs. So a lot of activity. And with that, I'll hand over to Terig for the finance.
Terig Hughes: Thanks, Jake, for that thorough and exciting update. Now on to the finance report. Revenue for the third quarter grew 32% over the same quarter last year, coming in at $0.6 million. At this early stage of commercialization, revenues remain fairly lumpy and difficult to predict from one quarter to the next. So we will not be providing revenue guidance at this point in time. Operating expenses for the quarter were down 10% year-on-year and down 18% for the first 3 quarters, primarily reflecting lower personnel costs and lower research and development expenses. As a result of strong cost management, net cash used in operating activities was $3.6 million for the quarter, down 33% over the same period prior year. Net loss was down 8% for the quarter and down 20% for the first 3 quarters compared to the prior year. Receipts during this third quarter included $1.2 million from a registered direct offering, which included participation by some of our directors. And subsequent to quarter end, we received net proceeds of approximately $6.1 million from a confidentially marketed public offering, including partial exercise of the underwriters' overallotment option. This raise also included insider participation, demonstrating once more strong managerial commitment. So to summarize the quarter, revenues were higher by 32% versus prior year, total operating costs lower by 10%. Cash used in operations was lower by 33%, net loss improved by 8%. And as Cameron reported at the top of the call, we are excited to have signed our first agreements with Werfen and Hologic. One of our key financial goals is to be cash neutral, meaning income, including licensing receipts, matches expenditure on a cash basis. We have made significant progress on cost reductions. However, to fully realize our ambition, we need to execute several significant licensing agreements in the human space and secure existing milestone payments in the vet space. I'm happy to say we continue to make solid progress against each of these targets. And with that, I will pass back to Cameron for closing remarks. Cameron?
Cameron Reynolds: Thanks, Terig. Before summing up, I'll provide a quick update on Nu.Q Vet. Expanding the global reach of our Nu.Q Vet cancer test remains a key priority, enabling veterinarians worldwide to improve canine cancer screening and outcomes. Our supply agreements with leading industry players, including Antech, part of Mars Science and Diagnostics, Fujifilm Vet Systems and IDEXX are instrumental in achieving this. To further accelerate revenue growth and ensure consistent delivery, we are focused on centralized lab automation. At the end of the first quarter, Fujifilm Vet Systems expanded their contract with us to validate and then implement a centralized automated platform using the IDS-i10 analyzer. I am delighted to report that the Fuji team have made great progress this quarter in validating and verifying the Nu.Q Vet cancer test on the automated platform. We believe the automation of centralized labs is crucial to accelerating our growth rate. So this is a particular area of focus for us. We aim to enable all our large customers to be automated so that they can easily and effectively handle the much larger numbers of tests that would result from having our tests in annual pet wellness panels. Putting our tests into wellness panels would greatly increase sales volumes and will be a key target for 2026. Notably, this automated platform is the same technology utilized for our human diagnostic products, Nu.Q Cancer, Nu.Q NETs and Nu.Q Discover, highlighting the inherent synergy and efficiency of our core Nu.Q technology. Terrific work from the Fuji team who continue to see steady growth in the use of the Nu.Q test in Japan. On the research and development front, we continue to make progress towards securing the final milestone payment of the $5 million related to our feline cancer product. In the second quarter, a peer-reviewed paper regarding pre-analytics was published, and we plan to present and submit for publication clinical data in the coming months. In drawing the call to a close, our goal is to secure a wide range of licensing agreements in the human diagnostics space, mirroring our successful strategy in the veterinary market and anticipate similar to the veterinary market, diverse deal structures with potential for upfront and milestone payments and future recurring revenue. We believe we have developed a unique and widely applicable platform that will be a big part of both oncology and NETosis for decades to come for hundreds of millions of people and animals worldwide. Cancer and sepsis diagnostics alone represent a combined total addressable market of approximately $25 billion annually, offering substantial revenue opportunities for Volition and our partners. I believe that these next few quarters will be transformative for our company. Our laser focus is on executing license agreements, and we will update you as they complete. Thank you for joining the call today. We very much appreciate it. We will now take your questions. Operator?
Operator: [Operator Instructions] Our first question is from Justin Walsh with JonesTrading.
Justin Walsh: Can you provide some additional color on the size of the antiphospholipid syndrome market and how it compares to other potential Nu.Q NET applications you guys are looking at?
Cameron Reynolds: Yes, Justin, thanks. That's a good question. So obviously, the NET market is huge. If you -- the big ones are things like sepsis and AKI. And I mean, obviously, they're the biggest of the big. And for us the start of the program, the first cab off the rank, we're very happy that starting with these kind of diseases, which are big worldwide. There are 4 million people who have APS. So it's considerable. It's not one of the biggest markets, but that's a very good one to start with. And the TAM, we've calculated is something in the $85 million to $90 million per year. So autoimmune diseases are obviously very important for a whole lot of reasons and it's something which is very tough to diagnose. So we think this is a great first cab off the rank, something, as I said, $85 million or $90 million market -- sorry, TAM is a very good way -- market size to start with. And currently, the way it's diagnosed is far from ideal, and it is very much NETs related. And as you know, the Revvity is selling our assays in Europe now, and they're analyzing 21 different uses beyond APS. So there's a large range of ones coming up, but that's the size of the first one. And as we said, we strongly expect to see a range of others.
Operator: Our next question is from Yi Chen with H.C. Wainwright.
Yi Chen: My first question is, could you tell us whether the Werfen partnership has made any contribution to the third quarter revenue? And also, how do you expect the Werfen and the Hologic partnerships to shape the top line revenue trend in 2026?
Cameron Reynolds: Yes. So Werfen have not accreted to the revenue. They're in the process of validating it on clinical samples for clinical utility. They absolutely hit the ground running. I think we'll end up with a broader agreement with Werfen. They've got it working on their machine. So -- and the machine is quite -- they're one of the biggest in the autoimmune space in coagulation. So I think they will be a big part of what we have going forward. I think our plan has always been and still remains to be that we will be on a range of different platforms. So these coagulation companies, companies like Werfen, Sysmex, [ Hologic ] are a very good way to start. They're all large multibillion-dollar companies, but are specialists in certain pieces of the NETosis market. So I think Werfen the first off the rank and they've hit the ground running, and I think we'll broaden the relationship. As far as Hologic, actually, I can announce today, they've actually made their first sale. Obviously, it's not in the last quarter's revenue because that's come and gone, but there will be some on this quarter's revenue. We could not be happier with that relationship as well. They've got a very -- well, compared to us, they're a multibillion-dollar company at Hologic, as you know. They're very excited about our epigenetics offerings. They presented at quite a few conferences. They've done a lot of social media and marketing. They've trained their workforce. They've also visited our laboratories in Belgium and in California already to really understand it. And as I heard today, they've made their first sale. So I think both are very important to our growth. I think the great thing with both agreements as well is we are in a lot of other discussions as we -- as you know, it does give everyone else a bit of a nudge to when you make deals with their competitors. So I think it's been transformative in our relationships with our -- the 10 other people we're talking to, have been taken so seriously by such large companies that obviously, they're very excited as well. So overall, I'm very, very happy with both the arrangements with Werfen and Hologic. And as I said a few times on this call, we're very active discussions with a bunch of others. I do believe very much going forward, the NETosis test, the oncology will be something which is taken by a very large number of people worldwide very regularly. And this is the start of that process that we expect to see a lot more in the coming months and quarters.
Yi Chen: Got it. And with respect to those ongoing discussions with additional partnerships, how many do you expect to close in 2026?
Cameron Reynolds: I guess one thing we've never really been on top of is the timing of which ones will happen when. It's always tough. These are very important deals for us. But if you are the largest company in the world or the largest companies in the world, they can speed up and slow down. But I'd strongly expect we'll have a range more, I do expect that we've got some very active discussions going and some of which are in hopefully, the latter and final stages. But exactly which ones will happen when, it's very hard to say. But I would be very surprised if there wasn't a bunch more through this year and through next year because I think what gives me that confidence, our NETosis test is the only way we know of measuring NETs. NETs are the next big things. They have been associated with dozens and dozens of different conditions and processes. On the oncology side, our basic Nu.Q platform in H3.1 and H3 K27 is the biggest seller in the Vet market. It's making a big splash in the lung market in France and Taiwan and moving to other countries. And as you've heard today, for the first time, again, very, very exciting. Our ovarian -- Dr. Micallef has cracked concentration of chromatin, which is just one of the holy grails in oncology. The issue with all the companies in the liquid biopsy space is a very rare target. So being able to concentrate chromatin fragments, and we started with transcription factors, which are the pinnacle of epigenetics. They are the most important factor and all that is just huge. So I think between all of that, I'm very confident we'll be getting some deals signed with different groups. We have something very special. But as we've said many times, it's bigger than us. There's no way we can commercialize all the different things we're doing. And I think, obviously, the first companies you've seen realize that. And I think it's really starting to pick up with the other companies as well. And the more we sign, the easier they've become to sign because our credibility and track record go up and up and up.
Operator: Our next question is from Steven Ralston with Zacks.
Steven Ralston: First of all congratulations on the traction you gained on the revenue line in the products and also on the significant reduction of expenses this quarter. And I'd like to dig into both of those. First of all, can you give some sort of breakdown of the product revenues? I know it consists of the Nu.Q Vet test and the Discover kits. In the vet, was there any like stocking for Fuji? Or was there some lumpiness in the Discover side?
Terig Hughes: So this is Terig, Steven. Yes, there is still a lot of lumpiness, which makes it a bit difficult to predict and then discover is very project-based. So that's up and down each month and each quarter. What I would say is that, as you can see, both services and product revenue had a very good quarter. And on the pillar side, every pillar made some progress, and we'd expect to continue to make progress through the balance of the year. We don't provide individual growth numbers for the individual pillars. But I do expect that we'll see growth across all the pillars through the full year.
Cameron Reynolds: And just one thing, Steven, I think to keep in mind, just to go through them one by one. The vet, obviously, we are the biggest selling oncology test in the veterinary market. But obviously, we'd like it to be much higher in the millions of tests and tens of millions of dollars in revenue. That is not going to happen until it's got a centralized lab machine working. But as you heard, that's something we have actually achieved this month with Fuji validating the i10. So the platform currently is on microtiter plates work fine. But as you can imagine, that's not an easy thing to do hundreds of thousands of tests on plastic plates. So having the i10 working, and it's -- obviously, it's made by Revvity, so a large, again, multibillion-dollar company is a massive breakthrough for us, and we're going to focus next year on trying to get -- getting the big companies to automate. And then there's a real prospect of them putting on this in wellness panels. So if you see them starting to go into wellness panels for the big companies, that means it's finally taking more of a vertical lift off with a steady sort of slow ramp, which we've been having. So we're very excited about that. Nu.Q Discover has actually outperformed what we expected. It's been -- we've had, I think, dozens of clients now for different uses, including all the research uses and the commercialization, the big companies. And Hologic getting their first customer is very exciting for us because they're out there. They've got far more rigs than we could ever have, of course, and they're taking it extremely seriously and very energized by this. And then on the Nu.Q Net side, they're very big companies and the big milestone payments take time. But in the meantime, the prong we have in Europe of all those different hospitals, 14 hospital networks using the system in 5 countries for -- I think it's 23 different net-related uses now. Now they're all just buying them now initially to work out a cutoff for what each use is, but we'd expect them to start the clinical utility in the next year as well. And so they should really start to take off as well and distributed by Revvity. So that makes it much easier. And we do expect the first clinical use of the oncology platform in Europe, in France, as we talked about in Lyon sometime in the next quarter or 2 as well. So everything is getting there. It's been -- it's one of those things. We've got a lot of things going on, and they always take some luck -- aeroplane taking off, sometimes it takes some time to get off the ground and then we're really hoping at least some of those happen in the next few months and quarters. And we can really turbocharge the revenue in the vet space, in the Discover space, in the net space and the lung space. And we're doing everything we can to put those things in place so that it comes from something where we're getting good sort of organic growth to a real lift off, which is what we all want. Does that make sense?
Steven Ralston: I'd actually like to pursue the revenue line a little more because as an analyst, I have to do financial modeling, and I'm looking at it by product line and the addressable markets that they have. And I realize it's a very nascent stage in terms of revenue right now and it's -- but thinking about it long term, I mean, right now, 75% of -- well, actually over 80% of the revenues in this quarter were on the product line. And looking at accounting rules and that sort of thing, segments usually break down by when they achieve over 10%. Do you think there will be a time where you'll actually break it down that we'll see product lines like in the vet space and Discovery, each one of your pillars having a separate revenue line or subsegment revenue line?
Terig Hughes: Yes. I think as the pillars mature and each revenue line becomes more meaningful, I think it would make sense to then provide that level of detail. At the moment, it's -- each pillar in and of itself is still relatively small and like I said, quite lumpy. And so for the foreseeable future, I think this is how we'll report it. But as soon as I think we get some significant growth. So for example, as Cameron mentioned in the vet space, if that starts -- that gets adopted into the wellness plans and takes off, I think it would be good to split that out and report that pillar separately or likewise, any of the others when they cross certain milestones. But in the meantime, we're happy to give you a bit of color on these calls, but we're not splitting that further at this time.
Cameron Reynolds: And to be clear, just to reiterate, on the revenue side, obviously, the product revenue is important in the short term, but we see more of kind of priming the pump proof of concept, proof of product to license. If this is going to be taken up worldwide and if NET is the biggest thing out there, which I think it could well become by 2030 or 2032, this could easily be in the hundreds of millions of tests per year as the TAM for NETosis. That's clearly not going to be us out selling that product, and we don't want that sales force. We don't want the process. So we're out now through our partners and licensees to sort of show that it works. But the bigger it gets, the less we'll end up doing and we'll make the money from the key components and the royalties and licensing revenues rather than the process. So I think if you look into how it fits together, in the short term, it will be more product-based because we're showing it works and these kind of relatively smaller sales. But once it really takes off, and I think I'm very, very excited with the potential in the oncology space and also in NETosis space, that's when it will -- the licensing revenue will drop the product revenue because these big companies have a reach that we're never going to want to have. So does that make sense, Steven? And so it will change from a lot of product revenue to overwhelming licensing revenue if it goes the way we expect.
Steven Ralston: Moving on to the expenses. the -- well, actually year-over-year and the sequential improvement was dramatic, much more than I expected. And somehow I had some sort of an indication that like the second quarter relative expenses were like going to be the floor now, but you made such a huge jump here in the third quarter. And actually, it's kind of a prop, it's about like the 1-year anniversary since you announced the cost-cutting program. Do you think you've come to the end of the cost cutting and this is more of the baseline? Or is there still more to come?
Terig Hughes: So I would certainly say it gets more difficult to beat the prior year because we started making progress in the third and fourth quarter of last year on the cost savings program. And so you're battling against a tough comparative. But yes, I certainly hope that we can continue to make progress, but it may not be as steep as we made year-to-date.
Cameron Reynolds: And Steven, it's a lot been listened to our investors as well. Obviously, we've been having to raise money, and it's a tough market. So we really want to spend and we have -- I think we've developed some of the most remarkable technologies with that money, but we're also aware that the market is horrible at the moment. So we need to save every single penny. So Terig has been extremely good at. But it's a balancing act. You're not going to become a successful company just by cutting. You've got to deliver the deals and products, which we're in the process of doing. So we've drastically cut our workforce and our expenditures. But at the same time, we managed to launch a range of products. And that's a balance we take every day because -- I mean, the cutting has been crucial. We had to listen to the market and had to listen to what's going on. But we also have to deliver. So it's something we thread that needle every day. But yes, so we'll see how that goes on the deals being signed. But the big difference now, I think the value of the company now isn't necessarily from cost cutting. It's from delivering deals and licensing arrangements and sales. So -- but in no situation, are we going to allow the expenses to blow out. We've got to keep it tight. It's very hard to raise capital at the moment and as we all know. So we have to do as much as we can, the little, but we do have to deliver at the same time. So it's a balance.
Steven Ralston: And last question, and hopefully, this is a short one. I noticed that in a recent conference, it was mentioned that some preliminary results from the ongoing lung cancer study were presented. Was there any new information there?
Cameron Reynolds: No. That's -- there's actually a lot going to be presented at the conference in Chicago in December. North American...
Steven Ralston: No, this is the one...
Cameron Reynolds: In Chicago, yes. No, they're getting there. So there's a lot of new data being [indiscernible], and we expect it to be in routine use. This will be the first time our test to be in routine use in humans that's coming up in the short term. And the Taiwanese has done a lot of work as well. So expect to see it later this year and early next year, but there's nothing -- I believe nothing new, nothing new in that process. But they are -- that's not a lack of activity. They are in the process of doing a huge amount -- and so that's our basic Nu.Q platform, and then we hope to be able to add on arrangements in the more complicated -- slightly more complicated areas of capture and process, but both are progressing well.
Operator: Our next question is from Bruce Jackson with the Benchmark Company.
Bruce Jackson: So if we could start with the -- I know the terms of the agreements with Werfen and Hologic were confidential, but just broad brush, were there any upfront payments in those agreements?
Cameron Reynolds: Yes, they were in Werfen, not as we've said, we start smaller and we expect them to get bigger and bigger with every deal. But yes, there were upfront payments and ongoing payments from Werfen. So to the earlier question, there were some not product income from them, but Werfen did have some upfront. I can't discuss that too much more. They're confidential, but yes, they were, and they are ongoing. And Hologic, it's a co-marketing, so it's not upfront, but they are very active and have made their first sales, so it will contribute to our revenue in the short term.
Bruce Jackson: Okay. And then second question, the milestone for the feline cancer testing, where do you think that might hit?
Cameron Reynolds: So it's in the process. So we're just in the final stages of getting the last caps, which has actually taken longer than we thought. Finding caps with cancer isn't an easy process, but we're getting there. So upon that, under the terms of agreement, it will be due on -- I'm not sure it's public. I'm not sure we can say the time scale, but the time scale is in the agreement with Antech. But as soon as the paper is published, that is a process where we can -- do you want to go through that, Terig? What can we say? I'm not sure exactly what that was...
Terig Hughes: Well, what I would say is that the conditions to meet the milestone that we need to get a paper published and then the payment follows thereafter depending on, again, either the launch, the first commercial sale of a test or there's also a time line by which they have to pay to us. So what we'd hope that once we've completed the study, got the paper published that shortly after that, we would be looking for that milestone payment to be paid.
Cameron Reynolds: It's up to the finishing the paper. And as you know, takes some time sometimes. But I'm very hopeful we are close to getting that across the line. And then yes, then we're in a position to ask for that payment.
Bruce Jackson: So publishing the paper triggers the milestone. Is that correct?
Cameron Reynolds: That's correct.
Bruce Jackson: Then last question. There were some Series A warrants that were out there that were milestone-based. Has that milestone been met with the announcement of the agreements? Or -- what are the conditions for that?
Cameron Reynolds: The conditions were an aggregate of milestone payments, which is higher than the milestone payments that we have. So it has not been triggered yet.
Operator: There are no further questions. I would like to turn the conference back over to Cameron for closing remarks.
Cameron Reynolds: So thank you, everyone, for coming on the call today. I really appreciate your time. There's obviously a lot going on at Volition in all of our pillars. Obviously, it's a very tough market at the moment for our shareholders, and we do understand that. So we're doing everything we can to deliver what's going to make us a very successful company. If we achieve them all, things we are making very strong progress. As said in the vet market, we've got the i10 validated now for centralized labs, which we're hoping will lead to other companies doing centralized labs and wellness tests, which would be transformative for our revenue in the vet space. The Nu.Q NETs, we're making a lot of progress in Europe with our fantastic partners at Revvity, who are selling them to 14 hospital networks now. They're working on the cutoffs in a range of a couple of dozen different uses for NET. We signed our first 2 human deals in the NET space, starting with APS, which, as we said, has like a $90 million-ish -- $85 million, $90 million TAM. So it's a good start, but we do expect a lot more. Jake, as announced, he has submitted for publication on the capture side, which is very exciting. We're making strong progress on the lung cancer side in both France and in Taiwan, and we expect it to be used in the first clinical sense in the short to medium term as well. So a huge amount going on, and I'd like to thank you all for having the interest in the company and keeping track of what we have. Expect to see a lot of news on all those fronts in the coming months as well as we continue to deliver on the commercialization plan. So thank you very much for your time today.
Operator: Thank you. This will conclude today's conference. You may disconnect at this time, and thank you for your participation.